Jean-Michel Bonamy: Ladies and gentlemen, [Foreign Language] an Earnings Presentation. With me today are Arnaud de Puyfontaine, Chairman of the Management Board and CEO, and Hervé Philippe, Member of the Management Board and CFO. This presentation will be in English with a simultaneous translation. This call is webcast on vivendi.com where the slides are available for download and those slides were also [blacked] (ph) email just before the call. Please also apologize for some delays that connecting everyone on the call. We invite you to read the important legal disclaimer at the end of the presentation on page 48. The first half 2014 financial reporting consolidated financial statements will be available on our website as of this evening. And you will able to access a replay of this call for 15 days also on our website. And as usual, this presentation will be followed by a Q&A session. And now, it is my pleasure to introduce our CEO, Arnaud de Puyfontaine.
Arnaud de Puyfontaine: I hand over immediately to the CFO, Hervé Philippe, before having the pleasure to make my bit.
Hervé Philippe: And let me start with something which is important, which is the scope of consideration and main currencies because those items are very important to understand the figures of first part of 2014 and to compare them with the last figures which were issued for last year. And first, I have to mention that according to IFRS 5 rule, SFR is deconsolidated from Q1 2014 as well as Maroc Telecom and Activision Blizzard, which has been last year. This is very important in terms of figures for revenues and EBIT and ANI and CFFO because obviously SFR is no more in those figures. We have some consequences in the asset for sale you will see later. So this is an important point. Another one is that we have some parameter effects, especially with two small acquisitions which has been done at Canal+, Mediaserv which is consolidated from February the 13 this year and Red production studio which has been consolidated from December 5, 2013. But at the same time it’s important to highlight that we have significant negative impact of currencies with lower FX rate for the dollar, the real and the yen that is euro between the first part of 2013 and the first part of 2014. Then let me come to the key financial metrics for H1 2014. Revenues amounted €5.5 billion, which are down by 3.5%, but up 1.3% organically. The IFRS 2, IFRS EBIT is at €436 million minus 7.1%. And the Q1 IFRS net income group share amounted to 1.9 billion plus 85% in comparison to last year and I will give you some expansion of this figure. If we speak on adjusted figure for adjusted EBITDA, the amount is €626 million minus 8.8% but plus 1.2% organically. The adjusted net income is €355 million minus 1.1%. Cash flow from operation €176 million plus 57% and the financial debt at June 30th is at €7.9 billion versus €17.4 billion at end of June 2013. This slide shows a full consolidated P&L of Vivendi which is under IFRS rule fully, revenues are €5.5 billion and you’ll see almost €200 million of negative churns in rev but ForEx effects itself is at more than €250 million which is negative impact of the revenues of the first part of this year. The EBIT is at €436 million done by 7.1%, but this figure includes an exceptional provision that we have taken on what share on which I will give some details later on. So, net profit group shares is at €1.9 billion, up 85% which is mainly driven by a decrease in financial expenses coming from €156 million to €53 million this first part of the year, and I will commence that later, but obviously it’s a main part of the net income this year is lying that you see earnings from discontinued operation which come from €1.2 billion to largely to the impact of the sale of Maroc Telecom for roughly €1.2 billion of the capital gain and accumulated profit from Maroc Telecom at the beginning of the year and SFR contributed for roughly €500 million on this figure. So the next slide is much more simple because it is the adjusted P&L which excludes non – non-cash item. So you see that revenues are at up 1.3% at constant parameters and constant currency, so EBITDA slightly above €1 billion is up 1.9% organically. So, adjusted EBIT at €626 million, up by 1.2% also organically. I can give you some details on lower interest charge which is largely due to an average growth debt which has declined a lot. It was €11.7 billion in H1 2014 versus almost €17 billion in H1 2013. At the same time we have a lower average interest rates, almost 3% in H1 2014 versus 3.25% in 2013 due to the fact that we have reimbursed after the proceeds of Activision Blizzard, we have reimbursed to the mostly costly bonds. Another important comment is to commence the provision for income tax which is at €177 million, presenting tax rate of 30.9% versus 30.5% in H1 2013, if we exclude one time item which was favorable for €56 million last year. We have lower also, non-controlling interest which follows acquisition as a full ownership of Canal+ performance in November last year. So, the leading ANI is at €3.55 million, which is almost flat versus H1 2013. Slide 7 regards the revenues by activity and you can see that Canal+ Group at €2.7 billion is growing, even at organic growth, plus 0.7% despite as lower sales which has been accounted for in France due to the impact of the increase of the VAT this year. But this has been offset by the very good performances in international pay TV. UMG, you can see that we are declining by 3.2% organically, in fact we have growth in the digital activities of UMG with the shift between streaming and downloading, but this increase of 3% in digital is not enough to offset the lower physical revenues which are continuing to decline. At GVT, we have very good growth expressed in local currencies in reals because we are 12.8% and obviously the impact of the decline of the real between the first part of 2013 and the first part of 2014 is very important, but grow the GVT benefit from higher number of subscription which is partly offset by some lower ARPU. If I come to the adjusted EBIT by activities, down by 8.8% in real terms, up 1.2% organically and this include €48 million provision for Watchever just to give you some more details on this. In fact, we have decided to reposition Watchever earns VoD markets in Germany in order to improve the profitability I would say to decrease losses made at Watchever in the short term. So we have decided to downsize this business to take provision of €48 million to cover the cost which are associated to this repositioning and we hope for the second part of this year to have a very low, very limited losses at Watchever. So, if we exclude this exceptional provision at Watchever, the adjusted EBIT would be €670 million, up 8.6% on this organic basis. Some comments by business unit Canal+ is minus 2.8 but it has been impacted by the increase of the VAT in France and also of higher cost of content in France has a very good figure on organic growth for the adjusted EBIT for Universal Music at plus 42% is linked to restructuring charges we add in 2013, so if we make certain comparable basis we have in fact very favorable base effect in the first part of this year which we pull enough to be the same in the second part of the year. For GVT, the adjusted EBITDA is down by 13% in real but is rolling in organically by 3.3%. Few comments in this slide on the consolidated balance sheet at the end of June. Frankly it was very difficult to show comparisons towards the last year because with IFRS 5 fields are very different but we can say clearly as the balance sheet situation at the end of June 2014 is much better financial situation that it was previously. You can see that we have net financial debt by €7.9 billion compared to in fact more than €17 billion a year ago, and €11 billion at the end of 2013. And this has to be compared to the equity of the group which is at foremost €19 billion. On the assets side, what is very important to look at is the line net assets held for sale for €13.7 billion especially with the contribution of SFR and also the remaining activation Activision Blizzard shares, we have on the balance sheet. The cash flow from operation, now you on the left side of the slide the cash flow before CapEx and right side the cash flow after CapEx for which we have a very good figure of +57% and 40.9% organically which is largely due to GVT because as a negative cash flow of GVT 180 million in H1 2013 comes to a negative plus 85 million is in H1 2014. This is driven by lower CapEx we are at GVT this year. And last but not least we will give you some details on the net cash position estimated at the end of 2014. So you see the middle of the slide the €7.9 billion of net debt which is situation at the end of June this year coming from 11.1 billion at the end of December of 2013. So main differences are explained by the sale of Maroc Telecom which bring cash in for more than €4 billion at the opposite distribution which has been made at the end of June for 1.4 billion. But after this situation at the end of June I have to give some comments we have decided in July to make a cash collateralization for the Liberty Media letter of credit. You know that in the past we had to have guarantee in order to have an appeal on this file in the U.S. and this was quite costly because it was up 2% as a guarantee paid to the bond so we have decided to put cash in deposit and allowed us to decrease the cost of these letter of credit and we will save around €15 million a year. This will increase the net debt but frontally for older rating agencies this was already considered as debt. Then we have the cash which we hope to come by the end of sale of SFR. Today we expect cash in of €12.9 billion. In fact its €13.1 billion concerning exactly the sale of SFR on €200 million concerning the acquisition of Virgin Mobile for which Vivendi has committed to pay €200 million first in the agreement with Numericable. We have some differences between the €13.5 million which we have previously expected under 13.1 which is now expected under sale of SFR and some month which are now estimated at €450 million. So this will lead us all other things being considered as neutral. This would lead us the net cash position estimated at the end of this year of roughly €4 billion. So those are my boring comments on figures. Now, I hand over to Arnaud. And let me start with something which is important, which is the scope of consideration and main currencies because those items are very important to understand the figures of first part of 2014 and to compare them with the last figures which were issued for last year. And first, I have to mention that according to IFRS 5 rule, SFR is deconsolidated from Q1 2014 as well as Maroc Telecom and Activision Blizzard, which has been last year. This is very important in terms of figures for revenues and EBIT and ANI and CFFO because obviously SFR is no more in those figures. We have some consequences in the asset for sale you will see later. So this is an important point. Another one is that we have some parameter effects, especially with two small acquisitions which has been done at Canal+, Mediaserv which is consolidated from February the 13 this year and Red production studio which has been consolidated from December 5, 2013. But at the same time it’s important to highlight that we have significant negative impact of currencies with lower FX rate for the dollar, the real and the yen that is euro between the first part of 2013 and the first part of 2014. Then let me come to the key financial metrics for H1 2014. Revenues amounted €5.5 billion, which are down by 3.5%, but up 1.3% organically. The IFRS 2, IFRS EBIT is at €436 million minus 7.1%. And the Q1 IFRS net income group share amounted to 1.9 billion plus 85% in comparison to last year and I will give you some expansion of this figure. If we speak on adjusted figure for adjusted EBITDA, the amount is €626 million minus 8.8% but plus 1.2% organically. The adjusted net income is €355 million minus 1.1%. Cash flow from operation €176 million plus 57% and the financial debt at June 30th is at €7.9 billion versus €17.4 billion at end of June 2013. This slide shows a full consolidated P&L of Vivendi which is under IFRS rule fully, revenues are €5.5 billion and you’ll see almost €200 million of negative churns in rev but ForEx effects itself is at more than €250 million which is negative impact of the revenues of the first part of this year. The EBIT is at €436 million done by 7.1%, but this figure includes an exceptional provision that we have taken on what share on which I will give some details later on. So, net profit group shares is at €1.9 billion, up 85% which is mainly driven by a decrease in financial expenses coming from €156 million to €53 million this first part of the year, and I will commence that later, but obviously it’s a main part of the net income this year is lying that you see earnings from discontinued operation which come from €1.2 billion to largely to the impact of the sale of Maroc Telecom for roughly €1.2 billion of the capital gain and accumulated profit from Maroc Telecom at the beginning of the year and SFR contributed for roughly €500 million on this figure. So the next slide is much more simple because it is the adjusted P&L which excludes non – non-cash item. So you see that revenues are at up 1.3% at constant parameters and constant currency, so EBITDA slightly above €1 billion is up 1.9% organically. So, adjusted EBIT at €626 million, up by 1.2% also organically. I can give you some details on lower interest charge which is largely due to an average growth debt which has declined a lot. It was €11.7 billion in H1 2014 versus almost €17 billion in H1 2013. At the same time we have a lower average interest rates, almost 3% in H1 2014 versus 3.25% in 2013 due to the fact that we have reimbursed after the proceeds of Activision Blizzard, we have reimbursed to the mostly costly bonds. Another important comment is to commence the provision for income tax which is at €177 million, presenting tax rate of 30.9% versus 30.5% in H1 2013, if we exclude one time item which was favorable for €56 million last year. We have lower also, non-controlling interest which follows acquisition as a full ownership of Canal+ performance in November last year. So, the leading ANI is at €3.55 million, which is almost flat versus H1 2013. Slide 7 regards the revenues by activity and you can see that Canal+ Group at €2.7 billion is growing, even at organic growth, plus 0.7% despite as lower sales which has been accounted for in France due to the impact of the increase of the VAT this year. But this has been offset by the very good performances in international pay TV. UMG, you can see that we are declining by 3.2% organically, in fact we have growth in the digital activities of UMG with the shift between streaming and downloading, but this increase of 3% in digital is not enough to offset the lower physical revenues which are continuing to decline. At GVT, we have very good growth expressed in local currencies in reals because we are 12.8% and obviously the impact of the decline of the real between the first part of 2013 and the first part of 2014 is very important, but grow the GVT benefit from higher number of subscription which is partly offset by some lower ARPU. If I come to the adjusted EBIT by activities, down by 8.8% in real terms, up 1.2% organically and this include €48 million provision for Watchever just to give you some more details on this. In fact, we have decided to reposition Watchever earns VoD markets in Germany in order to improve the profitability I would say to decrease losses made at Watchever in the short term. So we have decided to downsize this business to take provision of €48 million to cover the cost which are associated to this repositioning and we hope for the second part of this year to have a very low, very limited losses at Watchever. So, if we exclude this exceptional provision at Watchever, the adjusted EBIT would be €670 million, up 8.6% on this organic basis. Some comments by business unit Canal+ is minus 2.8 but it has been impacted by the increase of the VAT in France and also of higher cost of content in France has a very good figure on organic growth for the adjusted EBIT for Universal Music at plus 42% is linked to restructuring charges we add in 2013, so if we make certain comparable basis we have in fact very favorable base effect in the first part of this year which we pull enough to be the same in the second part of the year. For GVT, the adjusted EBITDA is down by 13% in real but is rolling in organically by 3.3%. Few comments in this slide on the consolidated balance sheet at the end of June. Frankly it was very difficult to show comparisons towards the last year because with IFRS 5 fields are very different but we can say clearly as the balance sheet situation at the end of June 2014 is much better financial situation that it was previously. You can see that we have net financial debt by €7.9 billion compared to in fact more than €17 billion a year ago, and €11 billion at the end of 2013. And this has to be compared to the equity of the group which is at foremost €19 billion. On the assets side, what is very important to look at is the line net assets held for sale for €13.7 billion especially with the contribution of SFR and also the remaining activation Activision Blizzard shares, we have on the balance sheet. The cash flow from operation, now you on the left side of the slide the cash flow before CapEx and right side the cash flow after CapEx for which we have a very good figure of +57% and 40.9% organically which is largely due to GVT because as a negative cash flow of GVT 180 million in H1 2013 comes to a negative plus 85 million is in H1 2014. This is driven by lower CapEx we are at GVT this year. And last but not least we will give you some details on the net cash position estimated at the end of 2014. So you see the middle of the slide the €7.9 billion of net debt which is situation at the end of June this year coming from 11.1 billion at the end of December of 2013. So main differences are explained by the sale of Maroc Telecom which bring cash in for more than €4 billion at the opposite distribution which has been made at the end of June for 1.4 billion. But after this situation at the end of June I have to give some comments we have decided in July to make a cash collateralization for the Liberty Media letter of credit. You know that in the past we had to have guarantee in order to have an appeal on this file in the U.S. and this was quite costly because it was up 2% as a guarantee paid to the bond so we have decided to put cash in deposit and allowed us to decrease the cost of these letter of credit and we will save around €15 million a year. This will increase the net debt but frontally for older rating agencies this was already considered as debt. Then we have the cash which we hope to come by the end of sale of SFR. Today we expect cash in of €12.9 billion. In fact its €13.1 billion concerning exactly the sale of SFR on €200 million concerning the acquisition of Virgin Mobile for which Vivendi has committed to pay €200 million first in the agreement with Numericable. We have some differences between the €13.5 million which we have previously expected under 13.1 which is now expected under sale of SFR and some month which are now estimated at €450 million. So this will lead us all other things being considered as neutral. This would lead us the net cash position estimated at the end of this year of roughly €4 billion. So those are my boring comments on figures. Now, I hand over to Arnaud.
Arnaud de Puyfontaine: This was everything but boring. Thank you very much for your presentation. And first and foremost, let me start by saying how pleased and honored I'm to be talking to you for the first time as CEO of Vivendi. Welcome to all of you here and to those of you listening across the globe. I'm sure this meeting is the first of an interaction which would be regular and truthful. As you know Vivendi has been undergoing a significant transformation in the last two years to become a group focused on media and conference. At the end of 2013, Vivendi acquired the 20% like of a stake in Canal+ France which is now wholly owned by us. The sale of Maroc Telecom was completed in May and the SFR closing is expected to take place sometime in the coming months. We have also built partnerships with major players to diversify the distribution of our contents. Over the past few months Vivendi has gained a foothold on several platforms where media and digital meets either on demand, music streaming, ticketing to name a few. I will come back to this point later. In parallel, Vivendi has strongly improved it’s financial situation as Hervé just outlined. The net debt was over 17 billion at the end of June 2013 and one year later at the end of June 2013 is €7.9 billion. When the SFR sales goes through the group should turn cash positive. On another topic, new Vivendi also means a new Vivendi culture. What we are currently implementing is clearly a vision of managers aligned to what’s common objectives and goals, sharing information and expertise in a performance driven way. Well, recent events. If there is a good definition of recent, it is what happened today. In fact there was no summer break of Vivendi in the last few weeks. Vivendi received binding offers from Telefonica on August the 4th and early this morning on 28th, and Telecom Italia early morning on 28 to acquire GVT, our Brazilian operation. The Vivendi Supervisory Board which met today examined those two office and decided to enter into exclusive negotiation with Telefonica. This offer which represents a total enterprise value of €7,450 million meets Vivendi’s both strategic and financial objectives. It will allow us to A. capture M&A momentum in Brazil to achieve premium value that is standalone with value creation exceeding €1.7 billion food transaction. B, reduce exposure to Telecom while keeping minority stake in Telefonica Brazil, Vivo and GVT to benefit from these promising industrial project in Brazil. We have the option to exchange some of the Telefonica shares for the Telecom Italia shares. This is something we would view as attractive. C, focus on media and content. D, build media corporation with Telefonica to increase value of media and content operations through enlarge distribution. As a reminder Telefonica is a platform of more than €310 million excess between Spain, LatAm and other territories. The transaction is also extremely for GVT as it constitutes a project with openings in fixed and mobile conversions. Most specifically GVT would be in the mobile market for the first time and more importantly, it would move to quadruple play integrated operator. GVT which successfully launched pay TV in 2013 would achieve critical mass in this business segment as a results of this project, and this project would also enable to continue geographic expansion in particular in Sao Paulo. The project offers great perspective for GVT and is also a deal maximizing value creation for Vivendi shareholders. GVT is valued at over 10 times 2013, 2014 EBITDA versus around 5 times for the Brazilian Telecom sector. The value created through this transaction would exceed €1.7 billion, but let me hand over to Hervé to go through the details of – some details of the transaction.
Hervé Philippe: You’ll see first slide in which you have some details on the transaction and in fact, as a value for GVT is €7.45 billion which is another surprise value in which we will have €4.66 billion in cash at closing, partly the cash and partly through reimbursement of inter company loans without normally 12% of the ordinary and preference shares in Vivo, GVT new company which are valued at €2.79 billion and interesting option for Vivendi to exchange the third of this participation against shares, ordinary shares that of Telecom Italia. So, this is the main characteristic of the deal. The net cash that we will receive on closing is estimated today at €3.8 billion in consideration mainly of taxes, we will have to pay on certain capital gain and some net debt at the level of GVT. So this is the main characteristic. Here you can see why maximizing valuation for Vivendi shareholders. Today is valuation of GVT is up €7.415 and in fact, when we consider valuation of GVT which is variation according to brokers with allies but also as a main bunks evaluation is around €5.5 billion to €5.8 billion in average €5.7 billion and so this is explained 1.7 billion of value creation. And if we consider it through the capital which has been invested by Vivendi since 2009, which was an amount total of €4.4 billion. So the other social important parameter, of Telefonica following, to finance this acquisition there will be capital increase at zero level to fund and cash consideration of the deal and this capital increase is guaranteed by Telefonica. We’ll have some limited price adjustment which I’ll debate on the working capital on net debt at closing. Today we anticipate something like small adjustment linked to that. Obviously there will be some approval from regulatory authorization and authorities including ANATEL and CADE in Brazil. As the reps and warranties which have been looked at very early and there will be a social agreement with Telefonica with no specific governance right for Vivendi but some figure and likes for the Vivo shares with ours, on a limited look up period of six months. What are the next step that we will probably we will enter into the negotiation with Telefonica until November of 28, with obviously to conceal the Vivendi’s conceal and to launch the procedural to obtain the authorization from the relevant authority. So closing of this deal is subject to obtaining those authorization to fulfill all of the customer condition of this type of transaction. Obviously, we’ll not be closing in 2014 but we’ve seen with the first part of 2015.
Arnaud de Puyfontaine : Thank you, Hervé. So, although recent events I'm not going to dwell anymore on SFR disposal we covered it. But a few things did happen over the past six month as regard to the reinforcement of our media operation. On the sport right France, last April Canal+ secured a major soccer rights for the years to come, improving and already strong premium offering. And that bids for the French league or bids for the Champions League as a strong supporter of the Gunners and a strong supporter of other teams in France I'm very happy. Vivendi also reinforced its leadership thanks to a theory of transaction. The successful integration of EMI recorded music which is going according to plan. The relaunch of D8 and D17 in FTA fashion in France. D8 has rapidly become one of the leaders among the countries digital terrestrial television channels. And the relaunch of the digital platform now called nc+ in Poland. We should also mention several intelligence if less visible acquisition in recent moments. Canal+ acquired a maturity stake in Studio Bagel, the leading MCN a comedy channel on YouTube in France. Its also took a majority stake in Mediaserv to continue its growth under diversification of its operation in the French overseas territories. Canal+ also invested in one of the U.Ks. most successful independent production company based in Manchester Red Production. In April, UMG acquired the U.K. based company Eagle Rock, an independent producer and distributor of music programming. This acquisition enhances UMGs presence in top quality audio/visual contents. Things are going according to plan and if the good example of bolt-on acquisition. Our ambition is clear. We want to transform Vivendi from a holding company managing financial investments into an integrated industrial group focused on content and media. To do so we can rely on four pillars. Our key relationship partnerships with digital platforms. Our international ambition. Our customer knowledge, our knowhow in discovering and managing tenants. Strategic relationship with digital platform. As you can see on the left of the slide, we are providing content to our consumers and subscribers on digital platform that we wholly own or in which we have significant stakes, Canal+, Studio Bagel, Vivo to name a few. These investments in innovative model are creating more and more value. In addition, we have established many strategic partnerships with major third-party platform on the right side of the slide just to name a few, YouTube’s 45, iTunes and Telecom operators. Our priority is to ensure the widest possible distribution and monetization of our contents by acting as entry or channels for contents, the digital platform allow us to reach a very large audience. The key element is the quality and the uniqueness of content we provided to our customers. B, accelerated international developments. I apologize for not exactly an updated slide on that one. But despite the news of GVT this is still as of today the situation of the group. Vivendi intends to enhance its organic growth while seizing any potential opportunities. We do already operate across different continents with a strong exposure to high potential market, especially in Africa and Brazil. Fast growing markets are increasingly shilling the Groups growth. We can see on the map that they represents 25% of total revenues in 2013. Our objective is now to push you Vivendi geographical expansion through organic growth. For example, Canal+ Group we rely on a vast experience and strong presence in Africa to launch the new French language channel in that region in October called a Plus. UMG intense to increase its presence Asia not only in China through the EMI level and the signing of young talents on that country. Around 2 billion new media consumers are expected to emerge in those emerging territories in the following decades. Vivendi intense to reinforce it’s presence in these markets. Third customer knowledge. We can also rely on the recovering subscription revenues Canal+ Group GVT and increasingly in the music business with the rise of streaming. This subscription model has three advantages. Number one, it guarantees regular income in a rapidly evolving industry. B, two, it allows us to better know and understand our customers and EBITs by collecting data we can propose new products and service related to that taste and so better engage with them. Three, it has a positive impacts on the value of our businesses. An increasing part of our revenues come from subscription. In 2010 revenues from subscription represented half of our total revenues. In 2013, it represents 60% of the total on a like-for-like basis. Four, last but not least. Finally, Vivendi has a specific and rivaled knowhow in discovering and managing talents. We have artist, brands, content with very high added value. Among the major successes of 2013 to-date in recorded music, the following are worthy of the particular mentioned, best sellers this half years included sales from Lorde, Katy Perry, Avicii, Sam Smith and Aloe Blacc. Please do download them this evening. The next version soundtrack is also worth mentioning as it has been the best seller and showed the value of being multilingual. In addition, I also would like to point out and an album such as Juste Un Cerveau by Belgian artist Stromae, who is the world’s most popular French speaking album of all time. All this shows the extraordinary diversity of talents at UMG. Canal+s Group has also revealed the remarkable TV serial Anúna (ph) on D8 and confirmed the talent of the Actor John Simm in Prey, a Red Production Miniseries. Studio Bagel which develops comedy channels MCNs for the Internet has also been the starting points from promising talents on YouTube in France. These four pillars formed a foundation, the building blocks of the new more integrated and more industrial Vivendi. By integrated industrial group, we mean strict monitoring with tight operating governance, a strong focus on cash generation and a more streamlined organization, agile and nimble. Stronger group integration with an experienced and committed team, greater cooperation between our businesses and the launch of group Red Cross business initiatives and rigorous investment criteria. Vivendi will give priority to organic growth, keep it strict financial discipline to M&A while forging strategic partnerships and alliances that provide additional content output opportunities. The new Vivendi will act as a facilitator and an accelerator of growth and performed company. As a conclusion and to cut a long story short, we [indiscernible] our different Board’s, the management team and I all share this ambition which is transforming Vivendi into an integrated industrial group focused on organic growth ready to seize opportunities and able to deliver value for shareholders. Thank you very much for your attention. And now, very happy to take your questions. Thank you.
Jean-Michel Bonamy: Question, as always the first is the most difficult, thank you very much. Could you introduce yourself?
Nicolas Cote-Colisson – HSBC: Sure Nicolas Cote-Colisson from HSBC. Can you give us more detail from the content element of the equipment proposed by Telefonica? And are you considering adjusted premium? Yes, I was stuck with that and then I have another question regarding the regulatory structure of the deal?
Arnaud de Puyfontaine: Well, as regard to the first part your question, we have an agreement to start the definition of the plan that will enable us to create a common approach as we got to content and media using the different platform and foothold of Telefonica in it’s different market, be it in broadband or be it in the mobile environment and to see how based on our base Canal+ and Universal Music Group we can develop common approach to be able to distribute our contents to their end customers. So, it’s early stage. It’s too early to be able to be more precise of the strict component of these agreement but Telefonica and us are committed to be able to come back to the more precise definition of these agreement soon. As regarded to the media set premium, as you know media set premium as a new shareholder Telefonica, we made the statements that we would have an interest as regard to the opportunity to get the stronger relationship within Telecom Italia. Again, the Italian market may trigger interest for us and we will review that opportunity in due time.
Nicolas Cote-Colisson – HSBC: Okay, thank you. And the following one is, when you can pronounce a procedure of – with the regulators in Brazil, are you doing it now or do you wait till the end of the exclusive period?
Hervé Philippe: In fact, we have clearly too ways to have signs of contract. So, it’s at the end of the exclusivity period that we can begin the discussion with of course the competent authorities in Brazil. So, which is after the exclusivity period.
Bruno Hareng – Oddo Securities: Good evening. My name is Bruno Hareng from Oddo. A quick question concerning cash return. I am not sure you are going to be able to answer precisely but we have got in mind that you plan to distribute €3.5 billion, you are about to receive a lot of additional cash. If you could help us understand what you have got in mind would be useful. That is my first question.
Hervé Philippe: Well, I am not sure to answer this question because in fact the Board this morning didn’t discuss the use of the possible proceeds coming from the sale of GVT which will come in 2015. For SFR we don’t have yet cash because we – the closing of SFR expected to be done in the coming months but we are not the cash yet on today we have €9 billion of debts the level of Vivendi Group of net debt – at the level of Vivendi. So, I think we have some time to review these questions and to have specific board on these subjects in the coming weeks or months.
Bruno Hareng – Oddo Securities: When do you think you could come back to us? Is it as you said in the next few months?
Hervé Philippe: What the timeframe as regard to SFR going to be by the end of this year or early next year depending of the momentum from the competition authority and agreement to be able to complete the transaction and as regard to the GVT and the news of today, we could expect a momentum to take a few months but to take in late spring 2015 that would be only an assessment of the timeline as regard to the completion of the transaction.
Bruno Hareng – Oddo Securities: Second question if I may. In the past you used to give guidance concerning divisions, we haven't seen any. Could you give us an idea of what you could expect for some of the divisions toward the end of the year? Thank you.
Hervé Philippe: That’s true, we haven’t given guidance’s for the rest of the year on different division. We did not intent to give precise guidance’s for the rest of the year. We are, you have seen in the very specific year in – in transitional year, so we don’t want to give guidance’s but at this stage in the year we do not expect big differences in second part in comparison to the first part of this year and things are going reasonably well, I would say for different businesses we have today.
Bruno Hareng – Oddo Securities: Last one quick, please, a quick one concerning the Canal+, we’ve seen that you moved a lot your assets selling some of them. You’re left this listed company first Italy the second Canal+. Is it something that you think should be ongoing until 2015 which is I think the gateway for convention and or it’s something that you could be brought completely inside, not sure I’m going to understand?
Hervé Philippe: This is not on the agenda.
Bruno Hareng – Oddo Securities: Okay. Thank you.
Arnaud de Puyfontaine: Maybe we can take a question on the call?
Operator: Certainly, we’ll now move to our first question from Filippo Lo Franco of JPMorgan. Please go ahead.
Filippo Lo Franco - JPMorgan: Good afternoon, everyone, and really well done on the GVT deal. I have three questions, please. The first is recently the CEO of a very large operating agency has suggested the possibility that you might acquire Havas. Do you think there is a chance or we should leave this in the ground of pure gossip? The second question is on the recorded music market, because this is still struggling and despite all the good content that you have at the moment, it seems to be very limited growth. Is it something that you expect to change in the future and why if this is the case? Finally, I think this in this conference you just said that having 8% of Telecom Italia would be attractive. What would be the rationale for having a minority stake in a telecom operator given that you now want to really focus on media? Thank you
Arnaud de Puyfontaine: Well, Filippo, thank you for your three questions. I’ll try to answer them short and please Hervé just tell me if I miss something. Havas, pure speculation, answer to your first question. Recorded music, well very interesting move. This is an industry which has gone through massive changes over the past few years as we all know. We had peaks in terms of downloading over the past few years, very encouraging and what happened is the next move on transformation which is now based on that streaming and subscription modeled. To answer to your question, what we see is global digital growth in the profile of our music operation which are not yet compensating for the still decreasing physical market distribution with patchy situation around the world. But I guess that one the meet to long term, I remain positive about the perspective of getting growth in this market. And the new market, new world to game and financials that could enable us – that we could get from the move to streaming and subscription model is very encouraging, especially as regard to potential margin enhancements. So still a transition period, very happy about our worldwide leading position, well positioned to be really getting the opportunity of these new changes in the market and expecting after this new player of transition to be able to get back to growth. Hervé?
Hervé Philippe: 8% in Telecom Italia.
Arnaud de Puyfontaine: Yes the third one is – yes absolutely, well let me just tell you something. I think that we are not getting back to Telco. I can read a few things. Read a few notes, read the press. But we do love relationship with Telecom operators, our great partners for business like a media and content business as regard to the possibility to get access to the end consumers. So as I told in my presentation, we want to develop every type of relationship with different access to our customers. Different platforms with digital platforms and talking about relationship with telecom operators, to be able to get strong relationship, in any shape of form with those big players and then to be able to think about how to access to their consumer base is something that is on the agenda. So as regard to Telecom Italia say that it would be potential for us to get into the Italian market. Get into this media market. And to see how from the nearly 100 million customers Telecom Italia has through team and team Brazil to see how based on our position with universal music group of Group Canal+ and how different businesses within the group to see how we can get added value in accessing with preformatted products to these potential customer base. So that would be the approach if were to confirm these interest.
Filippo Lo Franco – JPMorgan: Okay. Very clear. Thank you.
Arnaud de Puyfontaine: Nice question Filippo.
Filippo Lo Franco – JPMorgan: Thank you.
Operator: Thank you. We will now move to our next question from Charles Bedouelle of Exane BNP Paribas. Please go ahead.
Charles Bedouelle - Exane BNP Paribas: Good evening, everyone. Thank you for taking the questions and well done again for GVT. Somewhere doubting you could get a strategic value for this asset so soon so well done. I think I have some questions which really rebound on some of the previous questions. Just to come back maybe on the Telecom Italia and the stakes, when I look at some of the most successful content player with global reach, they rarely had stakes in networks or in Telco companies so I am wondering what is it that you can't do if you have a great content that really requires for you to invest a lot of money in TI or some other assets first? I think the second question is on music. You said you remain confident that the market can turn around in the long run. Where do you see the upside? Is it going to be from new markets? Is it going to be from better monetization for more people using music in your key markets? Where do you see really the rebound? That is my two main questions. Thanks.
Arnaud de Puyfontaine: So first one, well that’s true and again anything we may do it would be based on the capacity to articulate a proper plan and you are right in the past. there are not examples that you need to get the stake to be able to get preferred access to a potential distribution channel. But things are just changing and we are just seeing all the possible options available to us. But I think that over the past few months, we have seen some moves in the environment. Let’s take for example the interesting moves of liberty in the U.K. and liberty with Virgin Media Cable network and the stake they just bought a company called iTV to buy the Fox ownership of something like 6 and bit percent within iTV. I guess that this is if I may, use an example of this kind of an operator with specific channel of distribution getting a stake in a player as a television business, very, very developed in terms of the production and creativity and creating an momentum that in my view are going to see more and more. So again it’s not to put and to get into that with all bells and whistle but it’s really to be able to think in the mid to get access to the customers and the capacity to be able to get that reach that maybe different shape of form to reinforce strategic partnership and it maybe one among others. As regard to my vision for the mid to long term music industry. Well I can see the evolution from two main aspects. The main aspect is based on the capacity to tackle new territories. And all the digital platform and all the new technology, all the new big players in terms of streaming platform is enabling us to think about acceleration of the developments of territories in which currently we are not. As you know, our business currently is quite concentrated in five markets. Thinking about the different emerging consumptions, and how this evolution of both technology and as infrastructure and evolution of the consumer, attached to the evolution of the new business model, we can think about new territories and new fantastic potential market which we haven’t tackled yet. One of them talking about the new Vivendi and the common approach, I mentioned in my presentation our current position with Canal+ in Africa. I'm happy to report that now we’ve got 1.5 million subscribers in French-speaking sub-Saharan Africa, which is a very compelling momentum. When thinking about how to tackle music in the African continents. I mean you can imagine that the current base we are having with Canal+ is opening fantastic opportunity for UMG. We are going to play along those routes and Africa is a country in which we can see growth. The other thing over and above these geographic type of approach and tackle this new opportunity in terms of bringing music to a new audience. We’ve got the evolution to the streaming and subscription model. And I can see these are kind of good growth relay when we will have gone through this transition period, because in terms of cost of operation, in terms of opportunity to define the market, which is going to be greater and based on our leadership position, worldwide number one position with UMG, we are in a good position to benefit and to get strong relationship with those players. We have started by the way. But it’s going to get more and more on the agenda to be able to build that growth that I just mentioned.
Charles Bedouelle - Exane BNP Paribas: That’s very clear. One follow-up question…
Hervé Philippe: Evolution in music the emergence of streaming is very important. And one illustration is what happened this summer with Apple, which was - always a leader in terms of downloading. And Apple decided to buy Beats which is interesting company in streaming with platform. And this is also very interesting for Vivendi because we had roughly 13% of Beats, which has been to sold to Apple and closing has been done on the beginning of this month. And this shows the importance of Apple looking at streaming nowadays.
Charles Bedouelle - Exane BNP Paribas: Very clear. One very quick follow-up question if I may. A lot of investors are asking questions about that just to clarify on the cash return. A, you talked about the dates of closing of SFR and GVT, do you want to imply that this is the time you will update us on how you look at the cash return or you might update us before and then distribute as soon as the deals are made? And B, in the same question, what will be ultimately your financial policy? Do you want to have a bit of debt and carry on or you want to remain very net cash to seize opportunities? We really have a lot of questions on that and I think it is going to be very important in the coming months to see how you guys use the huge value you have created from the recent deals. Thanks.
Hervé Philippe: Obviously, there is today a net debt at Vivendi. So we are not in a position to return a large amount of money to shareholders. So this is already an exception way, we have [indiscernible] and said, is intention was to turn back to €3.5 billion to shareholders. But, frankly this cannot occur before having closed SFR deal on getting the cash in. So we’ll have probably with this operation maybe with GVT not possibilities of cash which can give us some move of maneuver in terms of different options which can be clearly to increase or payback to shareholders to develop activities or internal growth or too. But frankly we have not spoken of that this morning as a Board. So this is too early for us to give you more details on that.
Arnaud de Puyfontaine: Clearly if may have, we want to keep options open. Number one, address the issue as soon as we have made the confirmation of the transaction. And also as I mentioned we are in this paid or building the opportunity end of vision for the mid term around Vivendi. And everything is going to come to a point where we will be able to be more precise about those things. What is absolutely sure is that, our intention is not to go crazy about the use of money for M&A and things like this, which is something that is in the air. So we find just may be quite clear about that. As I mentioned in my presentation, there is [Audio Gap] this is clear. And there is no shadow of doubts between our Chairman, and me, and the team as we go to that very clear statement.
Charles Bedouelle - Exane BNP Paribas: Thank you for the time. Thank you.
Arnaud de Puyfontaine: Maybe can we move to question on the floor or on the call? Let's take a call.
Operator: Thank you. We will now move to our next question from Thomas Singlehurst of Citi. Please go ahead.
Arnaud de Puyfontaine: Good evening, Thomas.
Thomas Singlehurst – Citigroup: Good evening. Thank you for taking the question. I had two boring tax related questions and then one fundamental question. The tax related questions are one, a bit confused about why there is so much tax leakage from the sale. I sort of had anticipated that this would be -- there would be very little tax leakage but it seems to be quite a big tax payment. Can you just talk about that? The second tax related question within the current P&L, I think you are getting €100 million of sort of tax relief on amortization of acquired intangibles associated with GVT. Will you lose that after the sale of GVT? Those are the two tax ones. The fundamental question relates to the point you are making about having to have stakes in telecom companies which seems slightly counterintuitive, as Charles was saying. Should we anticipate that you are going to build up a network estate? You obviously have Italy and Spain covered. You have France covered. You have Brazil -- I mean do you need to have stakes in telco companies in the U.S. and Germany and in other markets as well in order to prosecute a content strategy or is there something specific about the market that we are talking about that mean the stakes are very necessary?
Arnaud de Puyfontaine: Thank you for those two questions. On the first one, I'm going to hand over to Hervé.
Hervé Philippe: Thank you very much. For positive tax, we have to pay on GVT sales. Clearly we are making capital gain of roughly 3 billion. So we’ll have to pay taxes, on operation both in Brazil, in France too. This morning we have calculated the foreseeable tax around I'd say €500 million for this operation which is if you compare, the capital gain something like 16%. Generally speaking we have tax – important tax interest in GVT in Brazil but we do not expect to have firm liabilities to that. And we haven’t given specific rates or warranties on that to Telefonica. Globally for the tax which is interesting point in the P&L representing 30% of taxes which seem to be aye but also to have in mind that, we make profits in big countries in which the company's tax rates don’t decrease because in France that also in countries like the U.S. where the tax rate is above 40% and also in Brazil where it is close to the rate we have in France of 34%, 35%. So, those are my notes on interesting question of taxes.
Arnaud de Puyfontaine: Coming back to the second one, well, let’s make it clear. Our strategy is not to take stake in Telecom operators. So I am talking opportunity rather than strategy. But as a matter of fact, as you have seen when we made the decision as regard to SFR on the structure in SFR and Maroc [indiscernible], we kept the 20% because there was value to be created that was part of the structure. And so we have this position. As we got to the transaction which is the news of the day with GVT, it’s just that there is a position, we are going to, - we are in the structure of the transaction of the stake in the newly combined operation in Brazil with an option to get a stake in Telecom Italia. Again, it is part of a negotiation. This is part of the deal and I say that we would, we maybe seeing that as attractive as regard to Telecom Italia in a way which is going to enable us to get a possibility to accelerate again the distribution of our content and to get the platform and access to a preferred platform to be able to accelerate that development. But it’s not to take stake that is going to enable to do that and they are all different means to achieve the same goals. So, again, to make myself clear, not a strategy but opportunistic choices understand perfectly well all the reason why on the past there was kind of a question mark of debate or failures as regard to the point of thinking that owning a specific Telecom platform is going to create competitive advantage in the future but I would argue that when you see what’s currently happening in the environment, you may just revisit a different approach as we got to the potential created by that. But again, this is not the strategy, the strategy remains the same and what we’re talking about is more opportunistic. There maybe also some other potential development around the transaction if the transaction were to occur. But we are not there to be able to create a worldwide type of approach. What we won’t and what is high on our strategic agenda is to secure and to develop the possibility to get different platform of different shapes to be able to access to the consumer, and to be in a good position to – within the regulatory constraints which are local issues market-by-market to be able to get a preferred access to the consumer and to provide our partner with the capacity due to the quality of the content to offer to that customer a very unique and special offering that is going to create a unique selling proposition. Interestingly, when you’re talking about the incumbent in Europe and you see these markets of 100s of mobile operators and some perspective about potential consolidation. Well, when you see the story of those businesses where business model were based on voices and data, this is committed, this is all about commoditization. What is more and more interesting is how you can bring added value in the relationship with your audience. And you see more and more Telco offering like O2 to name one of the brands of Telefonica or talking about from Telecom Italia team Young in terms of special deals for young people to be able to get access to music which is more and more part of the offering. So we just want to be part of that move which we do believe and I do believe is something that is going to be more and more important. I hope that has been as quick as possible as regard to that issue.
Thomas Singlehurst – Citigroup: Thank you very much.
Operator: Certainly. We'll now move to our next question which comes from Polo Tang of UBS. Please go ahead.
Polo Tang - UBS: Thanks for taking my question. Two questions. The first question is really about the portfolio. So after selling GVT, you will have two legs in the business UMG, Canal+. So I'm just trying to understand going forward, is the plan to bulk up the two remaining units or could you add a new media leg to the Company? How significant are the synergies from keeping Canal+ and UMG together? That is the first question. The second question is really could you give us an update on where you are with the Liberty Media lawsuit in terms of the appeals process and could you just give us some color in terms of a resolution or a timetable?
Arnaud de Puyfontaine: Thank you for your questions. As regards to Vivendi post GVT, if we were to move ahead, we will clearly focus first and foremost on what we have today and there are plenty of things to do. And the approach is really to get the highest priority on organic growth and as you have seen in terms of momentum and what we are building with the different pillars of the strategy, there are things to be done. Those two businesses have common DNA. Every type of content has got the same type of challenges and clearly we want to get -- and there are some initiatives that I probably will be in a position to comment more soon as regards to get the benefit of having the two businesses together with common initiatives which are going to fuel the organic growth I am just mentioning. There are some common approach we can have. Again more things to come in due time but I am very enthusiastic as regard to what we may be doing there. And as regard to potential other types of businesses that we can bring along again, there is no plan from where we are today. Time will tell. Again the highest priority for us is to get all the momentum that is required within those two operations in the context of this new Vivendi industrial group approach.
Hervé Philippe: Polo, the second question regarding the Liberty Media case. In fact, nothing really happened in the past months regarding this subject. Maybe, only some hearings but we hope to have some news in the coming months but for the present we have not specific news to give to you.
Polo Tang - UBS: Thanks.
Operator: Thank you. We’ll now move to our next question from Julien Roch of Barclays. Please go ahead.
Julien Roch - Barclays Capital: Yes, good evening. Three questions if I may. The first one on music. Would it be possible to know the percentage of streaming either of total or of digital and by how much it grew in the first half? That is my first question. My second question is could you give more detail on the €400 million adjustment of SFR or what is it? And then lastly, for the disposals, what should be your new sustainable tax rate? Thank you.
Hervé Philippe: Well, on the first question you can find some interesting additional information on UMG but also on the other abilities we have in the appendices of the presentation which has not been given globally but you can find those on the website and you will find all your answers to those questions. The second question is regarding the SFR adjustments. Clearly in this operation we have contract in which some adjustment are considered which are logic and [indiscernible] adjustment regarding the level of the net debt of SFR at the closing, plus working capital adjustment, plus some other items. One of the important point is to design the debt on some of the items which are in this contract, increase the level of certain net debt of SFR suppose at the end of the year. So, we have adjustment to date to be at €460 million comparison to €13.5 billion but to have also to have in mind that in this operation we are in the balance sheet of SFR from some provisions which are not specifically guaranteed by Vivendi and there is no specific close of guarantee on the passive of SFR. So, typically today we want to update the figures we gave you on the proceeds and SFR, but this is also a deal in which we have no last commitments after deal closing for SFR. So, the third question is regarding the sustainable tax rate for the future. As I said, we are in countries in which tax rate for companies don't decrease. So, we are trying to work on that but frankly this is quite difficult to imagine to decrease, the tax rate in the coming quarters I would say, unfortunately I would say. Let me turn over to Jean-Michel Bonamy for the first question.
Jean-Michel Bonamy: On your first question without being too specific, let's say that streaming and subscription represents a bit less than 40% of our digital revenues in the first half, growing by more than 50% on the like-for-like basis.
Julien Roch - Barclays Capital: Thank you.
Operator: Thank you. Our next question comes from Omar Sheikh of Credit Suisse. Please go ahead.
Omar Sheikh - Credit Suisse: Evening everyone. Just three questions for me. First of all I mean judging by everything you have said I think I know the answer to this but if you can just confirm in relation to the stake you are taking Vivo with TI, that you would rule out eventually selling it post a lock up, i.e., do you intend to hold this as a long-term strategic investment? That is the first question. Secondly, you said in terms of the strategy going forward you said that you want Vivendi to be an integrated industrial media group. But I'm not quite sure exactly how UMG and Canal will be working together in an integrated way going forward. So I wondered if you could just explain or just confirm that the management of the two companies remained as it is for the foreseeable future with different management teams and CEOs and so on and whether or not in future you see some sort of integration of the way in which the two businesses are managed if at all? And then finally on EMI, you obviously are achieving very significant cost savings in the EMI transaction through UMG at the moment. Could you just update us on how much of the £100 million cost savings that you previously targeted have been achieved in H1 2014 and whether or not you think more than the original target will eventually be achieved? Thank you.
Hervé Philippe: I will take the first question and maybe the third, and second I’ll pass it to Jean Michel. But for the lockup period which is six months for the visual GVT shares, I would say we have no specific intention at this stage because as you have seen, this operation is leading to unsolicited proposition we have received from Telefonica and also from Telecom Italia. So, this was considered much more from the Board perspective this morning and from opportunity and at the beginning of this month soon we issued our first press release we said, and we explained that, we didn’t intent specifically to sale our assets on GVT. So, we have seen that considering the value to the GVT, considering as a proposition which is done by Telefonica, this was in the interest of our company and the shareholder to accept this operation. In the proposition of Telefonica, there is a part in cash flow, there is part in shares and this is I would, say part of the deal. So, we’ve seen the future defined policy on this, but we haven't yet done it.
Arnaud de Puyfontaine: On the second, as regard to the plan for this new approach for Vivendi as an integrated industrial media group, this is the very early start. We started to implement the kind of new approach after the AGM end of June. And I am expecting to be more specific as regard to what it does mean and how is it going to impact our business in the coming few months. Is it going to go through any management changes organization, no, that's not the plan. We’re all working together. There is the notion of co-founders on this new Vivendi and things as we speak is going according to plan. So, there is no plan as regard to any kind of reshuffle and the plan is matching our initial objectives, more to come in due time.
Hervé Philippe: For the answer the third question, we can say that the cost saving plan at EMI has been launched in 2013, somewhat maturing which has been done but there is still to do I would say in some countries, we still have some work to continue in second part of this year. So, Michel do you have some detail on that?
Jean-Michel Bonamy: Yeah, just one thing worth mentioning is that outside of the - more than £100 million of cost saving expected. We should deliver around two-third of that amount in 2014. And this is obviously before the impact of free investment we’re making in the label. So, for your model, obviously don’t assume that the operating profit for UMG would just be upgraded for that number. That’s one thing just worth mentioning.
Operator: Thank you. Our next question now comes from Paul Marsch of Berenberg. Please go ahead.
Paul Marsch - Berenberg Bank: Thank you very much and congratulations on your deal today. I am sure you are aware that mobile market consolidation has been a big focus for investors in Brazil in recent months. If you had sold GVT to Telecom Italia, that would potentially have made Brazilian Mobile consolidation much more difficult to achieve and by selling to Telefonica, you not only executed good deal for your own shareholders but you also keep the door open for Brazilian Mobile consolidation to actually happen. I am wondering how much that idea was a factor in your decision today to choose the Telefonica offer over the Telecom Italia offer? And also how important now is the potential for Brazilian Mobile consolidation with respect to your interest in the 8.3% stake in Telecom Italia that Telefonica is now offering you because clearly if you take that 8.3% stake that could also oil be wheels towards eventual Brazilian mobile consolidation and obviously you might then benefit from that as well. So how important is that view on Brazilian mobile consolidation to your decision today?
Hervé Philippe: Well, frankly, the situation of the Brazilian mobile market is very interesting but this is not the key element which has been looked up for the decision our Board. Clearly we had to look at two different proposition and we chose what we considered to be the best for Vivendi and the shareholders of Vivendi. Indeed, in the Vivo deal, there is something which is interesting, which is a combination between fixed and mobile telephone industry. So, this is a way in which probably some imported markets will go in the future. But frankly we haven't saw that, we have to look at the next thing or next clue I would say through the possible combination of when we made our proposal to the Board this morning.
Paul Marsch - Berenberg Bank: If there is a move for Brazilian Mobile consolidation in the next few months, Telefonica Brazil is likely to need a capital raise to pursue that. Is that something that with your 12% stake in the merged entity you would be minded to support?
Hervé Philippe: I don't think so. Because we’ll not have the shares of the combined entity before at least several months and also obviously not before the end of this year is something which can be closed only in the first part of 2015, but towards the end of the second part or the first part of 2015, I would say second quarter for you.
Arnaud de Puyfontaine: Allow me to make the same comment, as few minutes ago again, in that transaction and in our position as regard to Vivendi in relationship with what’s happening in that environment. Our position for the time being is, A, we are as regard to the transaction we are going to enter if we have all the clearance to move ahead, we will then enter into the period of transition till completion of the transaction. But our move is on that field, again, more opportunistic than strategic. So, we’ll see what’s happening. We’ll do the right decision as regard to the interest of the shareholders and - but we’re not - our plan is not to become an operator of any kind of big moves in the mobile industry in the specific territories. This is not on the agenda.
Paul Marsch - Berenberg Bank: Okay. Thank you very much.
Arnaud de Puyfontaine: Thank you very much. Okay, I think there are two remaining person of calls. So, it’s been quite a long, thank you for your patience and your attention, but if you allow me, I’d like to thank the people who have been very patience. So, if you could ask very precise question that would be great. So, Conor O'Shea from Kepler, maybe?
Conor O’Shea - Kepler Cheuvreux: Yeah, that's me. Good evening everybody. Just a couple of hopefully some very precise questions. Firstly, I know you can't go into much detail on what you intend to do with the net cash until after the agreements with Telefonica is finalized and so on. But should we not read something significant into your use of word, or intention to build at least your businesses organically. In your press release it seems to suggest that even though you will look for small bolt-ons tongs essentially the investment will be organic and that would lead most people to believe that of the €8 billion or so net cash that shareholder returns could be boosted from what was already announced, after SFR was announced. That’s the first question, just whether we should read to enough into that phrasing? A second question, just on Canal+ very quickly with Netflix rolling out in France. Could you just sum up what you expect in the short term and how Canal is preparing to minimize the impact of that launch? And third question, on the holding company costs in the second quarter, they were extremely low. I just wonder, are there any exceptionals and can we – what kind of number could we extrapolate for the rest of the year?
Arnaud de Puyfontaine: So, first question, again as regard to what may happen depending of the structure of our balance sheet, again, currently we don't have any predetermined plan. We want to focus in making the situation and put us in a position to make some recommendation and this is a debate that we’re going to have at Board level and which is going to be figured by a few different factors that we would take into account in due time. So, clearly we will get back with different type of approach that we’re going to have in due time. This is the subject where the Board for the time being has willingness to keep options I would say open. And as regard to one of the usage of the possible proceed as regard to organic growth or potential bolt-on acquisition or acquisition again, the rigorous approach as regard to the decision, the financial criteria for the decision of investment are going to be extraordinarily disciplined. This is part of what we want to do in the new Vivendi. As regard to the second question, Netflix, well Netflix is all about the bundling of media consumption in terms of video content. So, it is a new competitor. I am very happy about the evolution of Canalplay. You should rush onto Canalplay. There is a fantastic catalogue, they are very good film. It’s a good consumer experience. I hope that you have fun in seeing the amazing advertising campaign which did stop some days ago. We have achieved more than 500,000 subscribers. And I guess welcome to the competition. Let’s have a good healthy competition and sure that is going to improve what we’re currently doing. I guess that combination is about two things. Is access to the customers number one, and B, is access to creative content. I am very happy about the trends around Studiocanal. I am very happy about the performance of Tandem and Red, who are two acquisition in terms of TV production. We have had some initiative in terms of production recently which did start with the coproduction of [Sericol] (ph) website. So it’s all about content. Isn't it? So Netflix, as we say in French, - we all, me, my parents, my children, not yet but soon maybe, my grandchildren, still not on the agenda, but we are consuming media differently. So, the point is to bring to the consumer the best possible media and creative proposition to make the consumer pay for that consumptions and to be extraordinarily I would say open holistic, as regard to the different type of platform that we are going to use. Then, we’re going to have competitors, and Netflix is coming. So, wait and see, what I will say nevertheless in that context. I am - the team at Canal is really doing a good job. We don’t underestimate this trend, this move and we are positioned. We are currently positioning ourselves to be able to move to the next steps. The thing which is very important is that we need to think deeply and how to convince the regulatory environment just to take into account these new type of competitive environment. And this is an issue, this is a subject, this is the topic on which we need to think in the context of the especially new government, and the new Minister of Culture and Communication, and how to be able to be pragmatic because when you get into a competition, we need to do that with the same rule of the game. And as regard to Netflix, excuse me, it is far from being the case. So, I wish and Vivendi do the very best to be able to create more pragmatic regulatory environment to be able to fight, to compete should I say at arm's length. So, that would be my answer on that point. But when you come to France, please try Canalplay. That’s really cool. And in terms of content, I compare the Canalplay content to the offer from that new competitor in other territories as you may know, I’ve just spent five years in the U.K. I saw Netflix arriving in the U.K., I was a subscriber to Sky and BT. Well, at the end of the day, it’s the best content which is driving consumer time, attention, and capacity and ability to pay. So we'll see, but not underestimating but ready for the competition would be my answer about that.
Hervé Philippe: I cannot avoid the boring question on accounting but to answer you, your question in fact the differences are probably mainly linked to some consideration of provision which we're on pensions on some specific people who left the Group. So do not take that as a full year figure.
Conor O’Shea - Kepler Cheuvreux: Okay, great. Thanks guys.
Operator: Thank you. We'll now move to our next question which comes from [indiscernible]. Please go ahead. Mr. [indiscernible], your line is open. Please go ahead.
Unidentified Analyst: Hi, thank you for taking the question. My question is a follow-up on the Netflix question. Are you planning on changing any price or features in your offerings ahead of the Netflix launch in September?
Arnaud de Puyfontaine: The answer is – I like this expression, I think in English we’d say, “If you pay peanuts, you get monkeys” So I'd rather focus and that's the plan to bring high value added content with the possibility for the consumer to recognize that and to avoid to get into any kind of price wall. So, we may have some tactical move. We may have some promotional type of product. But on a long term basis, no we are not going into any price war. We want to focus in bringing to our customers and our loyal customers are really best of breed second to non-offering. So I would like - will come to a conclusion. And thank you very much for your attention and hope to see you soon. And again, thank you for your patience. It's been a long one. But we have had a long week, as been a long day, a very compelling one. And thank you for your attention. And thank you for all having being here. See you next time. Thank you.
Operator: That will conclude today's conference call. Thank you for your participation ladies and gentlemen. You may now disconnect.